Operator: Good day, ladies and gentlemen, and welcome to the Nu Skin Enterprises Fourth Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to introduce your host for today’s conference, Mr. Scott Pond, Vice President of Investor Relations. Sir, you may begin.
Scott Pond: Thank you, Ashley, and thanks everyone for joining us. On the call with me today are Ritch Wood, Chief Executive Officer; Ryan Napierski, President; Mark Lawrence, Chief Financial Officer; and Dr. Joe Chang, Chief Scientific Officer. On today’s call, comments will be made that include some forward-looking statements. These statements involve risks and uncertainties, and actual results may differ materially from those discussed or anticipated. Please refer to today's earnings release in our SEC filings for a complete discussion of these risks. Also during the call, certain financial numbers may be discussed that differ from comparable numbers obtained in our financial statement. We believe these non-GAAP financial numbers assist in comparing period-to-period results in a more consistent manner. Please refer to our Investor page at ir.nuskin.com for any required reconciliation of non-GAAP numbers. And I'd turn the time now to Ritch.
Ritch Wood: Good afternoon everyone and thank you for joining us on this call today. As we completed 2018 and started this New Year of 2019, it has given me the opportunity to pause and consider what I've learned in the past nearly two years since becoming the CEO. I've definitely learned a lot. First, I’m fortunate to have a very strong capable and motivated global management team and we’re lucky to work with our global sales force, which we believe are some of the best and most talented people this world has to offer. Our relentless focus on customer, growing their customer base is working. Two years ago, I truly believe we could grow our business and deliver on our mission to improve lives around the world. Today, I am confident in our capabilities to be successful in this regard, and the vision and pathway of how we can unleash our potential is much more clear to me now. We will change the world and I look forward to a great year here in 2019. I was particularly encouraged as we close the year with a solid fourth quarter wherein we generated 7% constant currency revenue growth. Our reported revenue growth was 3%, which included a negative currency impact of 4%. These are very promising results as the prior year included a $130 million of revenue from our LumiSpa product introduction and a quarter in which we reported 25% growth. For 2018, our annual revenue with 2.68 billion an18% improvement for the year and was driven by growth in every region except Japan. And in Japan, we actually showed modest improvement throughout the year. I was especially pleased also with 16% growth in our customer base, which we reported this quarter and the steady growth in our sales force that happen throughout the year. This is a direct result of our growth strategy and Ryan will speak to this in a few minutes. Our fourth quarter operating margin was strong and earnings per share were at $1.05 when excluding the impact of the previously announced one-time impairment and restructuring charges of a $1.37. When including the restructuring charge, we reported a loss of $0.32. The $1.05 earnings per share includes a $0.04 purchase accounting charge. We believe our strategic decision to transform our technology platform allows us to accelerate the execution of our vision to grow this company and reach our potential. This transformation of our organization will open the power of our technology to significantly advance our capabilities as a customer centric organization. At the beginning of 2018, we made the strategic decision to acquire three manufacturing enterprises to secure our supply chain, increase our innovation, and accelerate our ability to bring products to market. During the quarter, our manufacturing entities reported revenue of $25 million and we are beginning to see the benefits we anticipated from deep partners to improvements in our Nu Skin gross margin. Each of these partner companies showed strong year-over-year revenue and profit growth in 2018, and each has great potential for continue to grow going forward. We have also spoken in the past about our investment in indoor growing technology often referred to as CEA or controlled environment agriculture. Our CEA vision is to enhance our ability to provide our customers with clean, sustainable ingredients, give our customers full sourcing transparency, and provide with a competitive advantage in our product development, innovation. We continue to make significant advancements in our capabilities and technologies that empower this vision, and we look forward to sharing more insight on our plans including a tour of our facilities for those interested at our Investor Day. We anticipate another great year in 2019 with projected currency neutral revenue growth of 5% to 7% and earnings per share of $3.80 to $4.05. Mark will discuss this guidance further in his commentary. I’m excited to share more information surrounding our vision for the Company at our Investor Day on February 28. It will be held here at our corporate headquarters in Utah and it will be also webcast. We look forward to seeing many of you at that time. I'll now turn the call over to Ryan to provide an update on global business.
Ryan Napierski: Thanks, Ritch, good afternoon everyone. We’re excited with our growth strategy and what drove in 2018 in terms of strong results and remain focused on three pillars as we make steady progress in each one. First, regarding engaging platforms, we continue to leverage social sharing which empowers our sales leaders to attract, acquire and retain more customers through the use of social media and technology. From a company perspective, we are also employing social media in various ways to more effectively promote our business. For example, in the fourth quarter in South Korea, we successfully reintroduced our Nu Skin 180 system, using the KakaoTalk social platform and we utilize the popular WeChat out platform in a similar way in Mainland China to launch a new pre-biotic product Balance Plus. As Ritch noted, under the direction of our new technology leadership team, we are making some significant changes, accelerating our ability to becoming more customers obsessed, digitally enabled organization, key to our progress in our migration to the cloud, which expands our scale capacity and flexibility to better service the needs of our customers around the globe. On the enabling product front ageLOC LumiSpa continues to perform well and drive customer acquisition with strong demand globally, accounting for 11% of Nu Skin fourth quarter revenue and more than $250 million for the year. During the fourth quarter, we also began to extend the LumiSpa franchise by introducing LumiSpa Accent in a few of our markets. Accent is a new LumiSpa attachment, which when used with a reformulated idealized treatment serum provides focused benefits for the more delicate skin around the eyes. We expect LumiSpa to remain a key growth brand for us in 2019. Finally, regarding empowering programs, we continue to rollout velocity around the world. This compensation enhancement focuses on accelerating rewards the sales leaders on a daily, weekly and monthly basis. It also provides increased rewards for sharing our products and greater flexibility to appeal to a broader entrepreneurial demographic. During the fourth quarter, velocity was launched in South Korea and we are on pace to have it fully implemented in all markets by mid 2019 with the exception of mainland China which operates under a different business model. Velocity continues to drive key growth behaviors amongst our sales force including increased customer acquisition as evidenced by our 16% customer growth this past year. So, collectively, our growth strategies drove solid results in each of our segments. In Mainland China, we grew constant currency revenue for the year by 21% and 2% for the fourth quarter. And while there has been some concern about the impact of trade negotiations on the China economy as well as increased media and regulatory scrutiny around the nutrition market, we continue to anticipate growth in 2019. In Hong Kong and Taiwan, we posted positive year-over-year growth of 11% and quarterly growth of 4% in constant currency, reflecting continued interest in LumiSpa and social sharing. In South Korea, the business improve from a 15% decline in 2017 to 1% constant currency growth in 2018 and up 2% in the fourth quarter. During the quarter, we lost our velocity compensation enhancement which when coupled with the restage of the Nu Skin 180 system improved both customers and revenue. In America and Pacific, we grew 20% in constant currency for the year and 3% for the quarter. These results were driven by strong growth in the Pacific and Latin America. Despite the hyperinflationary environment in Argentina which temper the growth in that market. In Southeast Asia, we continue to perform well with 2018 constant currency growth of 18% and 13% for the quarter. We continue to anticipate strong results as we focus on our growth strategy, which produced improvements of 11% of sales leaders and 25% in customers. In Japan, constant currency revenue decreased 2% for the year, which is a trend improvement from prior years. And in EMEA, constant currency revenue grew 10% for both the year and the quarter, reflecting the continued focus on social sharing throughout the region and improvement in several of our key markets. As we look towards 2019 we will continue to focus on our growth strategy, providing the platforms, products and programs to empower ourselves leaders to attract and retain customers and build stronger sales teams. Our quarterly and annual results reflect the strength of our focus and execution and the degree of alignment, we are creating throughout the organization alignment that we believe will help us continue to grow the business in 2019. With that, I'll turn it over to Mark.
Mark Lawrence: Thank you, Ryan. I will now provide some detail regarding our fourth quarter results and give first quarter and full year 2019 guidance. Additional financial information can be found on our Investor section of our website. Our fourth quarter revenue improved 3% to $683.3 million or 7% to $710.1 million on a constant currency basis, compared to the prior year, which include a $130 million LumiSpa introduction. Our reported revenue was negatively impacted 4% by foreign currency fluctuations. For the full year, our revenue was $2.68 billion, an 18% increase over the prior year marking the second highest revenue year in our history. For the full-year, our core Nu Skin business grew 14% while our recent acquisitions contributed 4%. 2018 revenue was impacted less than 1% by foreign currency fluctuations. Our quarterly reported earnings per share were negative $0.32 or $1.05 when excluding $77 million in primarily non-cash charges related to the impairments of information technology infrastructure, severance and other related expenses. This compares with $0.33 reported earnings per share, or $1.20 when excluding the impact of tax reform in Q4 2017. Please note that the $1.05 includes a $0.04 non-cash purchase accounting charge. Reported earnings per share for 2018 were $2.16 or $3.52, when excluding the impairments, and restructuring charges incurred in the fourth quarter. This compares to $2.36 or $3.23 when excluding the impact of tax reform in 2017. During the quarter, we executed a restructuring program to support our vision of becoming a world's leading business platform. We took a non-cash impairment charge of $48.6 million associated with breaking down our technology assets as we transition to the cloud infrastructure Additionally, we took a $22.1 million charge associated with the changes to our IT and other departments within our corporate and America's offices. Because of our plan investment to transition to the cloud and secure required talent to execute this transition, we don't anticipate this restructuring to result in significant cost savings for 2019. Gross margin for the quarter was 76.3%, compared to 77.7% in the prior year quarter. The gross margin of our Nu Skin business improved 20 basis points to 77.9%. Selling expense as a percent of revenue was 39.4%, compared to 39.8% in the prior year quarter to decrease was largely due to non-commissionable revenue associated with our manufacturing entities. Our Nu Skin selling expense was 40.9%. General and administrative expenses as a percent of revenue, or 23.9%, compared to 23.0% in the prior year. Reported operating margin for the quarter was 2.7% or 14.1% when excluding the restructuring charge, compared to 14.9% in the prior year. The other income expense line reflects a $4.3 million expense, compared to a $0.4 million expense in the prior year. The increased expense was primarily due to the strengthening of the U.S. dollar. During the quarter, we paid $20.2 million in dividends and repurchase $21.3 million of our stock. As indicated in a separate release, we also increased our dividend for the 18th consecutive year to $1.48 annually. The tax rate for the quarter was 225% or 35.9%, when excluding the restructuring charge, compared to 81.5% or 33.1%, when excluding the impact of tax reform in 2017. Our revenue guidance for the first quarter is $615 million to $635 million, reflecting growth of zero to 3% or 6% to 8% in constant currency with an approximate 5% to 6% currency headwind. We project Q1 earnings per share of $0.70 to $0.77 and Q1 tax rate 33% to 36%. For 2019, we are projecting revenue in the $2.76 billion to $2.82 billion range or growth of 3% to 5% or 5% to 7% in constant currency. This guidance resumes and approximate 2% to 3% currently headwinds. 2019 earnings per share our projected at $3.80 to $4.05 with a projected tax rate of 33% to 36%. We will provide additional details at our upcoming Investor Day event on February 28th at our corporate headquarters. If you would like to attend in person, please reach out to our Investor Relations team. With that, I will now open up the call for questions.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Faiza Alwy from Deutsche Bank. Your line is now open.
Faiza Alwy: Thank you. [Operator Instructions] And our first question comes from the line of Faiza Alwy from Deutsche Bank. Your line is now open.
Faiza Alwy: So I have a few questions. The first one is just on the local currency, constant currency growth for fiscal '19. If you could just maybe disaggregate that for us by region, China in particular and then maybe the rest of the regions and how we should think about it from a quarterly basis? So how the phasing, it seems like you're expecting 1Q to be better, but are there any launch events or anything else that we should be mindful off? I'll start with that.
Ritch Wood: Thanks, Faiza. Let me just quickly speak to that. Appreciate your question. We look forward to our Analyst Investor Day, where we will lay out more detail by region, by growth, by quarter and give more detail. I think the big question I think on most people's mind is China. What do we project for China, I think for purposes today, we expect high single-digit growth in China next year on a constant currency basis and then, again, we'll lay out the rest of the details at the Investor Day.
Faiza Alwy: And then just, Mark, maybe if you could talk a little bit about how you're thinking about gross margins for next year? I know this year, we had -- your gross margins declined as you had some sort of -- made some acquisitions. But what is the -- what are you embedding for next year for '19?
Mark Lawrence: Yes, great question. Thanks, Faiza. As Ritch mentioned, we'll break out of full gross margin walk for you at our Investor Day. But at the highest level, we're projecting '19 gross margins roughly in line with '18 as we have a full year impact of our acquired companies. So in that 76% to 77% range is where you should model that.
Faiza Alwy: And then sorry just last one from me is, what was the inventory write-off for in the quarter?
Mark Lawrence: So the inventory write-off was largely items that were impaired due to our structural changes that we made in our supply chain organization.
Operator: Thank you. And our next question comes from the line of Olivia Tong with Bank of America Merrill Lynch. Your line is now open.
Olivia Tong: I guess, in the quarter obviously you announced restructuring program. So I'd love to get a better understanding of what you're hoping to tackle with that? You've obviously mentioned that there's not an expectation in 2019 of a lot of savings coming out of that, it sounds like it's more an efficiency expectation. But what expect that obviously with an efficiency program that you would get some savings out of that? So a little bit of color behind that? And then also what kind of additional capacity you think that now allows you?
Ritch Wood: Yes. Thank you, Olivia. Good to hear from you and I'll just give a quick update as it relates to our vision and then the other guys can speak specifically to some of the thoughts around the margins and so forth. We really believe that in order to a achieve our vision, we have to be customer-centric, we have to be able to support customers in a way we never have before and our old technology just didn't allow us to be flexible and able to move very quickly in terms of making changes and so far. So we're really excited about this change, which is well under way, it's moving along quickly and we'll start to see benefits in 2019. Ryan, do you want to?
Ryan Napierski: Yes, well, and I would simply add to that point in moving to the cloud, we will -- we're really seeking to scale, capacity and flexibility that we need in order to service the business. And so, I mean, to your point around efficiencies versus effectiveness, this is really a move to create a more effective technology infrastructure and not a cost reduction exercise. So that's really what we seek to gain out of it.
Mark Lawrence: Yes. And the only thing I would add is the reason why we are not projecting a huge cost savings into next year is, it's really a shift from on-premise capitalized expense to a more OpEx cloud expense. So that OpEx that we will incur as we move to the cloud will offset the depreciation that we were taken off the books from taking the capital loss.
Olivia Tong: And then, just if I could move over to cash flow. I'm not sure if you have the numbers yet given this quarter, fiscal year-end. But if you could provide just cash flow from operations or free cash flow that would be great? And then just in terms of returning cash to shareholders, obviously, you've done a couple of acquisitions recently. But they're not huge dollars. So can you talk about your priorities because this dividend raise more recently has been kind of inching up at a slower pace than the earnings growth and there is still obviously a lot of room on your repurchase authorization as well. So just a little bit of color into your priorities that would be great?
Mark Lawrence: Sure. So I'll tackle the first one. Cash from operations in the quarter was about $88 million. As far as uses of cash and such, we're really focused on our priorities, which our first priority use of cash is to grow the business. The second one is, we'll continue to pay dividend, we just raised our dividend for the 18th consecutive year. It was a modest increase, but we believe we're paying healthy dividends. And then third, we'll balance the debt repayment and share buyback similar to how we did this year and expect our share buybacks to be roughly in line with what we've done the last two years.
Ritch Wood: I think from an overall standpoint, Olivia, we see opportunities to really invest and grow our business, maybe more or so than we've seen in the past. For part of that reason, we've been conservative with both our share buyback as well as our dividend just because we think there's opportunities to really look to expand, I think moving to the cloud technology is one area that we think opens up a lot of opportunity for us, but we're going to go very committed to it and all in. And I think we'll get the results we need. So leaving some cash available obviously to be able to do those sort of things and not hamper in any way our ability to grow the business.
Ryan Napierski: And the only thing I would add is that our capital spend will go up next year. We've talked about building the manufacturing facility in China and that process will really start in earnest in 2019.
Olivia Tong: And then just lastly on, in terms of the product initiatives for 2019, I imagine we'll hear a lot more about that in -- at the Analyst Day. But if you could just give us a little bit of an overview in terms of the new product pipeline, are we more focusing on skin care versus nutrition? I guess, how much of our focus are you going to have on more approachable price points? And then also if you could give a little bit of flavor into some of the new initiatives like the indoor growing?
Ryan Napierski: Yes, Olivia, we just -- on a couple of those points around product, I think we will -- as you said, will be laying out the full plan at Investor Day or Analyst Day coming up. But generally speaking, what you'll see us focusing on are building the brands that we have much more effectively. As I mentioned in previously, LumiSpas franchise continues to do well. You'll see us continuing to invest in those brands that are really power house brands for us. We will continue to explore lower price point products as you're -- as you noted there. Social sharing is critical and required certain price points to move well. But we also remain focused on the entire portfolio and ensuring that all of our products are socially proficient that way. On the news, the nutrition versus the skin care side, 2019 is well balanced both -- but continues to skew heavily on -- a bit heavier on the personal care side, although there are many local initiatives, including the one I mentioned in China, our TR90 line continues to be very, very important to us. So those types of nutrition related product initiatives are sprinkled throughout the year throughout many of our markets.
Ritch Wood: Yes. Good product pipeline with a different philosophy, not the big LTO plans that we did, say, two or three years ago, but really an opportunity to build these brands with solid customer focused effort. And as it relates to indoor growing, we look forward to sharing more of that here in a couple of weeks. It's an initiative that we believe is really, really important to customers going forward. They demand transparency, they demand clean, pure ingredient and it's really hard to be able to guarantee that in the world we live in today. So we're going down a path that we believe is going to be very, very motivational to our customers. I think they're going to love it and we've made some good progress to the point where we will actually start to see products later this year and so forth. We'll talk about that again in two weeks. But exciting progress in that front and believe it fits right into our customer demographic and the vision we have for the company.
Operator: Thank you. Our next question comes from the line of Tim Ramey with Pivotal Research Group. Your line is now open.
Tim Ramey: Ritch, I'm not sure you expressed it in exactly this way, but you certainly have emphasized the idea of ramping up the percentage of revenues coming from new products over time. Do you have anything specific to say on your progress there in terms of -- metrics of where we're at, where we think we might go?
Ritch Wood: That's a great question, Tim, and something that we have watched over time, but we're really changing our philosophy to be much more agile with our products and building strong brand. So for example, LifePak is a product that is probably our number two nutrition supplement that really has not been updated for many years. That's not the way we want to focus going forward. We want to take those strong products and continue to update them regularly. So there's consistent new innovation and technology going into our product. You'll see it in our new packaging refreshed that's rolling out at the end of last year and into this year. So it will look different than the big new product that we did in the path, so that's probably not a good comparison to actually try and say, what percentage of our revenue will come from new products. But again, a different strategy, it's going to look fresh, it's going to look new and I think the exciting to our customers.
Tim Ramey: And then also just I'm guessing that moving to the cloud makes you somewhat less CapEx intensive on the IT side. Do you have a forecast for CapEx yet for 2019? So if you gave it, I missed it. I'm sorry.
Mark Lawrence: No, we didn't give it, but I'll give it to you now. It's going to be somewhere in the $80 million to $100 million range depending on our factory build out in China.
Tim Ramey: Okay. And it will most of that be China?
Mark Lawrence: No, about somewhere in the $30 million to $50 million range would be the factory in China.
Tim Ramey: Okay. And then just one on regions, I know you wanted to kind of stick to high level there, but the South Korea has been a slog and it looks like you've at least bent the curve there in a slightly positive way. Is that a market where we think we could or should expect growth in '19?
Ritch Wood: Well, we're very, very encouraged with what we saw toward the end of the year. So there are two primary initiatives that we did. We restaged a really successful product in China, which we call Nu Skin 180-based system product. Again, to the strategy of how we do new products going forward, we were able to get great traction around that product, at the same time, we brought forward our Velocity compensation changes and we really were encouraged with the fourth quarter that look positive, where we saw customer growth, where we've seen our customer acquisition increase. And so we're encouraged for this year. But I'd say in our forecasting and in our guidance, we've been quite conservative on what Korea looks like this year, but we do show growth in that market. It's low single-digit growth is what we probably anticipate as that business continues to turn around, but quite encouraged with the results we saw just in the end of this year.
Operator: Thank you. Our next question comes from the line of Linda Bolton Weiser with DA Davidson. Your line is now open.
Linda Bolton Weiser: I was just wondering, in looking at your year-over-year change in sales leaders, there are many regions that are down, but that's been the trend in many of these markets. So I guess just the only one that really stood out was the Americas/Pacific sales leaders being down 7%. Can you just kind of talk about that, because I think the trend has been that it's been up. And I don't know if that's -- I don't know, yes, can you just talk about like why that would have become a decline versus increases in the previous quarters?
Ritch Wood: Yes. Let me just speak high level and then Ryan can add some detail to it. The Americas is impacted as Mark mentioned, or maybe, Ryan, I think mentioned in the call that the hyper inflationary environment in Argentina, which was our fastest growing Latin America market, has really impacted and slowed that business down to some extent. So that's reflected in some of these numbers, the other one is just China, where we had a really strong response to our LumiSpa launch a year ago and some incentives that were in place that drove that sales leader number to jump in the end of the year and then come down in the first quarter, which is what we projected. What we're encouraged about with the sales leader numbers, the way it continue to develop throughout the year, steady, generally and continue to improve nicely. So I feel good about the direction of our sales leader number and the year-over-year comp is not quite as telling in my perspective because of LumiSpa launched last year. Would you add Ryan to that?
Ryan Napierski: I would only add that really as we focus on our customer -- on customer acquisition growth. The kind of the relationships, so we're really excited about the customer acquisition growth. The race -- the relationship between the sales leaders and customers has evolved somewhat. So it is hard to compare the quarter -- the Q4 activity and impact of that.
Linda Bolton Weiser: Okay. So like if you were to just -- if you were to look at Americas/Pacific and just say, look at the U.S. with the sales leaders have been up or down in just the U.S.?
Ritch Wood: I'm gonna pull that up real quick. I think the sales leaders were down a little bit in the U.S., yes, down about 11%, customers were down 3%. So slightly down and I think part of that also is our change to move to Velocity. There -- the with requirements are lower in the new compensation plan. So we've seen some consolidation, I would say in the number of sales leaders we have. Overall, generally it's very strong, but our U.S. business showed that a little bit more than some of the other markets.
Linda Bolton Weiser: Okay. And then you've shown a pattern kind of in recent years of having a major new launch about every two years. Is that something we can think about possibly for 2020?
Ritch Wood: I think there will definitely be a major new launch of a product -- the key product brand that we're doing will probably swing over to the nutrition side, given our focus has been little bit more personal care. I don't -- It won't be the same as we've done with LTOs in the past, but it will be a very key product that we take and put significant investment, innovation and relaunch.
Ryan Napierski: Yes, you're just -- Linda, you're going to see as Ritch mentioned a couple of times, you will really see an enhanced focus on innovation across multiple brands in 2019 and beyond. And so, I would probably be looking less for the one-off or the single product initiative that will drive results and we'll be explaining a lot more about this brand strategy of driving multiple brands through multiple key initiatives, which we think will be much more powerful and sustainable over time.
Operator: Thank you. And our next question comes from the line of Stephanie Wissink with Jefferies. Your line is now open.
Ashley Helgans: Hi, this is Ashley Helgans on for Steph Wissink. Thanks for taking our question. Regarding the constant currency revenue expectations between 5% to 7%, how should we think about cost leverage at the sales level?
Ritch Wood: We're really encouraged first of all by that 5% to 7% growth, as looking back at what we guided to when we started 2018 and it was similar. We felt like we could be confident of 5% to 7% growth rate. And so we're starting 2019 with that same growth rate. We do believe, we'll be able to expand our margins maybe Mark from a high level, what would you comment on that?
Mark Lawrence: Yes, I think what we're modeling in for this year is roughly 50 basis point improvement in our operating margin.
Operator: Thank you. And our next question comes from the line of Doug Lane with Lane Research. You may proceed.
Doug Lane: I guess we've talked about the operations and they were certainly pretty impressive 7% organic growth on top of that comparison and the 2% growth in China on a very large comparison. So the business continues to perform well. In fact, the operating income was ahead of where we were looking for, but we keep giving it back in these non-operating items. And so just from a modeling standpoint, what exactly where the currencies that impacted the other income this quarter and how should we think about that going into 2019?
Mark Lawrence: It's a great question. We really are subject to currency in many of our -- we were in nearly 50 markets and we're subject to currency fluctuations in nearly all of them with most of our profit coming from overseas. The big swingers are really the Chinese RMB and then we continue to face pressure from Argentina being highly inflationary where we have to mark-to-market all of our assets there. Intel was being no longer highly inflationary. Those would be the biggest swingers for us, but also Southeast Asia is becoming an ever important market for us and it's a very large market for us. And so we are subject to currency swings in all of those markets as well. If you look at our guidance for the year, we guided 2% to 3% currency headwind. So this is going to be a year, particularly in the first half of this year, where we're going to be facing an uphill battle from a currency perspective.
Doug Lane: So when you forecast negative currency number on your top line, we can assume there could be a negative impact to other income as well? Basically would have go together?
Mark Lawrence: Yes, they do. We've done a -- what I think is a fairly good job of trying to mitigate that risk. If you remember what happened in Q2 and Q3, or we have rather large charges. As a comparison in the current quarter, it was about $0.02 and impact on still a relatively large FX movement in the quarter. We've done our best to try to mitigate our intercompany balances around the world. We still have an exposure in China, which I think is going to be difficult to manage considering the amount of cash that they need to operate that business.
Doug Lane: That's make sense. So 2% in the quarter marked yet that for the year?
Mark Lawrence: The impact for the quarter is 5% to 6%, the impact for the year is 2% to 3%.
Doug Lane: No, I mean, if -- I'm asking the earnings per share impact of the foreign currency translation losses in the other income line?
Mark Lawrence: For 2018 or next year?
Doug Lane: For 2018?
Mark Lawrence: 2018, we disclosed the $0.13 in Q2 and $0.07 in Q3.
Doug Lane: And did you say what it was in Q4?
Mark Lawrence: Yes. Right now I'd just say it's roughly $0.02.
Doug Lane: Okay, all right. And there is going to be -- so we won't get all that back this year, but hopefully will be a number that somewhat smaller than that?
Mark Lawrence: The goal is that we hopefully mitigated much of that risk.
Operator: Thank you. And our next question comes from the line of Beth Kite with Citi. Your line is now open.
Beth Kite: I was just thinking about social selling and going back to the idea that in October of '17, we heard at the biennial convention about a lot of new products that were going to be tested in some markets across '18. So now that we have a full year of that. Can you sort of give us some context around which products were maybe outside successes? What you learned from that this past year? And how that might inform some of the social selling initiatives that you have for 2019?
Ryan Napierski: Yes, absolutely, Beth. And you do ask this question quite frequently. So we should just work it end of the script. We did talk about. It's really been a great learning year for us, as you mentioned we launched, I think something like 14 or 17 product concepts are introduced those at live 2017 and have been really rolling those out one by one. Many of those -- many were just concepts to test the market, but several of those have been rolled out in various markets at various times. And then we're seeing varying results as we learn. most notably I'd say is Powerlips that has become really a good little franchise for us in terms of attracting a new demographic of customers that we historically couldn't attract as effectively. So that's been a great one and continues to do well. We see great promise in that. We've had Dr. Dana that's gone out into many markets and continues to be rolled out around the world and it seems to be a decent product as well. There are others that were really concept driven that have very good favorable, I guess interest that we need to continue to work on in order to get margins right and dial in those concepts further. So we'll continue to explore and experiment with new product concepts, like we did before. I think maybe the bigger learning for us is throughout the course of the last year and a half is that every one of our products has the ability to be a socially shareable product. And we found that many of our products like LumiSpa, that are maybe higher price points that historically we haven't seen as particularly socially by roll or actually be quite socially by role. And so our goal is really to ensure that our entire portfolio has products that are socially shareable and leveraging the learnings from these -- many of these tests to better the entire portfolio.
Beth Kite: Because I'm thinking about product like so would raw be one like you only ask that we were seeing in the fourth quarter that sound sort of that test phase, if you will?
Ryan Napierski: Yes, exactly, I mean raw is very -- in fact, I'd argue is one of the best product concepts that we tested in terms of just general consumer response to it. We need to continue to work on margins there to ensure that packaging and all of that work well. But yes, the concept is very good. And we just need to make certain, we can scale that effectively.
Beth Kite: So now we could pivot to access for LumiSpa. Are you going to tell us which market are markets that debut in the fourth quarter? And then also, I think it's sort of the idea of one ageLOC more broadly in '19. Are there any nuances between the first and second quarter in terms of the roll-out of Accent to keep in mind?
Ritch Wood: Yes, it will be quick and easy to get the fourth quarter, because there are only like three markets that we did it in.
Beth Kite: Okay.
Ritch Wood: I think Hong Kong, Taiwan and one or two markets in Southeast Asia. It will primarily be a first half 2019 launch, with the big difference being that China is April. So China will be Q2 most of the rest of the markets will start to launch the Accent in Q1.
Beth Kite: One or two other questions if I may, one, TR90 back on the second quarter earnings call, there was the concept that had the potential for the year to do roughly $200 million in sales. Can you let us know where TR90 shaped out for full year sales?
Ritch Wood: Yes. It was well over $200 million for the year, about $225 million or so.
Mark Lawrence: $234 million.
Ritch Wood: $234 million.
Beth Kite: To be exact from the CFO. Great. Now, actually Mark, quick question on tax rate. If you like this what we are looking forward to in '19 is likely a higher tax rate than we've had at least the last couple of years, kind of harkens back to the mid-30s of three and four years ago, what's the opportunity there to sort of work the tax rate, at least maybe more comfortably into the low-30s? Is there an opportunity?
Mark Lawrence: There is an opportunity, but I think it'll be a little bit longer term. So we did guide 33% to 36% indicating that, A, our tax rate will be more variable, so it will be more fluctuation in the quarter and that will be really driven by where the profit is generated around the world. If profits generated in higher tax region, for example, China or Korea, the tax rate will be higher in that given quarter. We have been and are actively working on adjusting our tax structure to try to bring us down to the lower end of that range, or potentially below that range. But we're operating against the 30-year tax structure that set up in nearly 50 markets and you need to be very careful as you unravel those things.
Ritch Wood: But the bottom line to getting that lower is drive U.S. profit. And so we -- yes, we are definitely focused on finding ways to continue to grow our business, our profitability, and opportunities to increase our profit, particularly in the U.S. market.
Beth Kite: And one final one, if I may, on modeling. Just thinking about G&A for the full year. Are you going to, again, I assume have your every other year big global convention in the fourth quarter of this year? And if so, I know G&A is kind of moved around. It used to be that you could kind of add $10 million roughly to your fourth quarter for the G&A in the year that had the event. Is that sort of still the bright magnitude to think about for incremental spend for the fourth quarter for that event?
Mark Lawrence: Yes, that's roughly in line. We're obviously in the planning stages of that event now. But that's the budget, more or less that we're planning for in the $10 million range.
Operator: Thank you. And our next question comes from the line of Mark Astrachan with Stifel. Your line is now open.
Mark Astrachan: Wanted to ask on China, so I tuned in late, so apologies if this was touched on a bit earlier. But I wanted to just try to reconcile the currency neutral sales growth of 2% with the moving parts of the sales leaders and customers. And then just try to get a sense of kind of like what was going on there and what drove kind of the variability in there? And then just not stronger growth, I get that there was a tougher comparison, but obviously the customers were up quite a bit and sales leaders were down. So if you can just talk about maybe puts and takes and kind of reconcile that with how you get to high single-digit growth in '19 that would be helpful?
Ritch Wood: China continues to be what we see is a really great opportunity and we were happy to be able to grow. So of our $130 million of LTO in the fourth quarter of 2017, $58 million of that was in China. So it was a big strong quarter that we're comparing against. We've seen good solid results in both the customers and sales leaders as the year progressed. We had a big push right at the end of 2017. And then as we projected and anticipated, that number fell down, the sales leader number fell down in Q1 of 2018. But then was consistent and look good throughout the year. Where our focus has really been with Ryan and his team is really driving our customer base in China. So we've had a number of particularly over the last say three or six months on retention of our customers and that is beginning to show, it's really encouraged with the way the customer number increased in the fourth quarter and gives us a good base as we move into next year. Our success and our ability to grow the business there will be driven by the fact that our customer base has to grow and our sales leaders need to grow. So, yes, I think overall, we feel good about the market, we feel good about the direction that we've seen it trend throughout the year and that's what gives us confidence guiding to additional growth here as we enter 2019.
Mark Astrachan: And then, Mark, just switching to cash flow. So roughly $200 million in cash from ops in 2018. How should we think about some of the moving parts there? It sounds or seems like working capital was a pretty big headwind. Does that reverse and if you can give any sort of color on expectations for that number for '19 that'd be helpful?
Mark Lawrence: Yes, I think that's something that we'll go into a lot of detail around at our Analyst Day/Investor Day in two weeks. I will say that with an LTO in Q4 of '17, that created a large commissions payable. This was in early Q1 of '18. So that artificially brought down cash from operations in '18. That should not reflect itself or up be the same in '19 because we didn't have a large LTO in the Q4 of '18. We'll give you a lot more detail at Analyst Day.
Mark Astrachan: We'll wait to hear from that. I guess, I want to go back to the question on China. I just try to figure out, so the revenue per customer was down a lot more productivity. How we want to think about it in the quarter versus it was in Q2 and Q3? Why was that? I mean what specifically is going on from a productivity standpoint, mix standpoint? Any view there might be helpful?
Ryan Napierski: Yes, I think really, that's more of a function of the denominator growth right to the revenue. So if we look at it, going back to the point Ritch mentioned around some of these retention initiatives, we were able to really increase the customer repeat purchase activity, which typically, by the way, the repeat purchases generally are the smaller basket size than the first month order typically. So we haven't specifically dialed in on China that way, but I'm perceiving that that's really what you'd be looking as revenue divided by customer.
Mark Astrachan: So as we go forward, the focus will be back on moving the sales leaders not the customers. Is that what I heard before correctly?
Ryan Napierski: No, I think maybe better -- I think better stated would be that while we continue to drive the business, our customer acquisition strategy, we anticipate sales leaders will correlate to customers. I think the issue in Q4 was really the year-over-year comp from the 2017 Q4 LumiSpa introduction. There that generated a significant amount of revenue in that quarter and also increased our sales leader based on the amount of volume that went in the quarter. So resetting that to Q1 and then growing from Q1, we'll anticipate that those two are correlated. But again, the customer activity that we're really looking at and frankly it's quite interesting for us as well over the last, call it four, five months of 2018, where some of these new retention initiatives in China that are proving out or at least indicating a good benefit to our customer numbers generally.
Ritch Wood: I think, Mark, it's important to note that we focus really on both. But we have made some efforts specifically in the recent months in China, particularly to drive and that's what's shifting that denominator a little bit. We'll see how it comes into this year. But if we're going to grow this year, they both have to grow. We have to have sales leader growth and we have to have customer growth.
Ritch Wood: Thank you, Mark. Okay, I think that's the end of the questions. We sure appreciate all the questions and appreciate your attention on this call and look forward to a great year and look forward to seeing any of you who will be able to make it at our Investor Day here in two weeks. Thank you very much.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program, and you may all disconnect. Everyone, have a wonderful day.